Operator: Good day and thank you for standing by. Welcome to the NMI Holdings Fourth Quarter 2021 Earnings Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, John Swenson. Please go ahead.
John Swenson: Thank you, operator and good afternoon. Welcome to the 2021 fourth quarter conference call for National MI. I am John Swenson, Vice President of Investor Relations and Treasury. Joining us on the call today are Brad Shuster, Executive Chairman; Adam Pollitzer, President and Chief Executive Officer; Ravi Mallela, Chief Financial Officer; and Julie Norberg, our Controller and Chief Accounting Officer. Financial results for the quarter were released after the close today. The press release maybe accessed on NMI’s website located at nationalmi.com under the Investors tab. During the course of this call, we may make comments about our expectations for the future. Actual results could differ materially from those contained in these forward-looking statements. Additional information about the factors that could cause actual results or trends could differ materially from those discussed on the call, can be found on our website or through our regulatory filings with the SEC. If and to the extent the company makes forward-looking statements, we do not undertake any obligation to update those statements in the future in light of subsequent developments. Further, no one should rely on the fact that the guidance of such statements is current at any time other than the time of this call. Also note that on this call, we refer to certain non-GAAP measures. In today’s press release and on our website, we provided a reconciliation of these measures to the most comparable measures under GAAP. Now, I will turn the call over to Brad.
Brad Shuster: Thank you, John and good afternoon everyone. I am pleased to report that in the fourth quarter, National MI again delivered strong operating performance, significant growth in our insured portfolio and record financial results, capping a year of standout success. We closed 2021 with $85.6 billion of total NIW volume and a record $152.3 billion of high-quality, high-performing primary insurance-in-force. We delivered broad success in customer development, continued to innovate in the reinsurance market, once again achieved industry leading credit performance and actioned our CEO succession plan in a seamless fashion. We generated a record $236.8 million of adjusted net income in 2021, up 36% compared to 2020 and fully delivered on our strong mid-teens return goal, with a 16.1% adjusted ROE for the year. Shifting to Washington matters. Policymakers, regulators, the FHFA and the GSEs remain focused on promoting broader access and affordability to the housing market for all borrowers. Expanding access to homeownership and all the benefits it provides in a manner that appropriately guards against systemic risk is critically important. At National MI, we recognize the need to provide all borrowers with an equitable opportunity to access the housing market establish a community identity and build long-term wealth through home ownership. And we are actively engaged and committed to equally supporting borrowers from all communities. We believe there is broad recognition in Washington of the value that the private mortgage insurance industry brings to this effort, providing borrowers with down payment support and equal access to mortgage credit, while also placing private capital in front of the taxpayer to absorb risk and loss in a downturn. Overall, I am delighted with what we achieved last year and I am excited about our opportunity to continue to lead with impact and build value for our employees, for borrowers, for our customers and for our shareholders in 2022. With that, let me turn it over to Adam.
Adam Pollitzer: Thank you, Brad and good afternoon everyone. I am delighted to talk to you today on my first earnings call as President and CEO and to welcome Ravi Mallela as our new CFO. Ravi brings a wealth of experience and proven track record as a senior finance leader to National MI and you will have an opportunity to get to know him in the time ahead. For today’s discussion, I will share some comments about our 2021 results, discuss the current mortgage insurance operating environment and update you on our key organizational priorities. I will then turn the call over to Ravi to review our fourth quarter results. National MI plays a critical role in the housing market and serves an important social purpose, helping borrowers gain access to housing and supporting them as they build value and community for themselves and their families. Our entire team understands this responsibility and we are proud of the impact we had and the success we achieved in 2021. During the year, we generated record NIW volume of $85.6 billion and exited with $152.3 billion of high-quality, high-performing insurance-in-force. We now have over 500,000 policies in force and have helped a record number of borrowers gain access to housing at a time when they needed us most. We enjoyed continued momentum and growth in our customer franchise, activating 122 new lenders and ending the year with nearly 1,300 active customers. We continue to innovate and find success and broad support in the capital and reinsurance markets. We were once again recognized as a great place to work, our sixth consecutive award, a reflection of our unique corporate culture and a testament to the hard work and dedication of our talented team. And we achieved record financial results for the year, generating $444 million of premium revenue, up 12% compared to 2020, industry-leading credit performance with a 2.8% loss ratio, $237 million of adjusted net income, up 36% compared to 2020, and a 16.1% adjusted ROE. The mortgage insurance market environment remains constructive. And the significant success we achieved in 2021 gives us confidence as we look forward. Total industry volume was an estimated $585 billion in 2021. And while increasing interest rates will impact refinancing activity, purchase origination volume remains strong. First-time homebuyer demand, in particular, is at a high. And private mortgage insurance penetration of the purchase market has increased as a growing number of borrowers turn to our industry for down payment support. The pricing environment is stable and balanced, allowing us to fully and fairly support lenders and their borrowers, while at the same time, appropriately protecting risk-adjusted returns and our ability to deliver long-term value for shareholders. Persistency is improving with the arc of interest rates, a real positive given the embedded quality and value of our portfolio. And credit performance continues to trend in a favorable direction with underwriting discipline remaining paramount across the mortgage market, record house price appreciation providing a sizable equity buffer and broad resiliency in the job market supporting the consumer and household balance sheet. The macro environment is dynamic, highlighted by the recent Omicron wave, increased market volatility, persistent inflation and anticipation that Fed will raise rates in 2022. Overall, though, as we look ahead, we expect the housing market will remain robust with sustained demand and house price appreciation. And we expect mortgage insurance market conditions will remain favorable, with strong NIW volume and equally constructive pricing and risk dynamics. In 2022, we will continue to focus on our people. They are talented, innovative and dedicated. And we will continue to invest in our culture with a focus on collaboration, performance and impact. We will continue to differentiate with our customers. The mortgage market is connected and evolving. And we will work to continue to stand out with our focus on customer service, value-added engagement and technology leadership. We’ll continue to invest in our community with ongoing investment, partnership initiatives and philanthropic commitments aimed at helping all communities grow and thrive. We will continue to prioritize discipline and risk responsibility as we grow our insured portfolio, working to write a large volume of high-quality, high-return and highly persistent business under the protective umbrella of our comprehensive credit risk management framework. We will continue to focus on building value for our shareholders, growing earnings, compounding book value and delivering strong mid-teen returns. And we will advance our capital road map, with today’s announcement of our $125 million share repurchase authorization serving as an important step as we work to maintain our funding balance and progress capital distribution opportunities for our shareholders. This is an exciting time at National MI. Our core mortgage insurance products are in greater demand than ever before, and we’re leading with impact and innovation, expanding our customer reach, delivering strong growth in our insured portfolio and bottom line financial results and helping a record number of borrowers gain access to homeownership. With that, I will turn it over to Ravi.
Ravi Mallela: Thank you, Adam. I am excited to join National MI and pleased to report that we have achieved record financial results in the fourth quarter with significant growth in our insurance portfolio and continued strength in our credit performance, driving record revenue and bottom line profitability. Net premiums earned in the fourth quarter were a record $113.9 million. Adjusted net income was a record $63.5 million or $0.73 per diluted share, and adjusted return on equity was 16.5%. We generated $18.3 billion of NIW in the fourth quarter, including $17.1 billion of purchase volume. Our purchase volume increased 4% compared to the third quarter and 31% compared to the fourth quarter of 2020. Primary insurance-in-force grew to $152.3 billion, up 6% from the end of the third quarter and up 37% compared to the fourth quarter of 2020. 12-month persistency in our primary portfolio was 63.8%, up from 58.1% in the third quarter. In 2022, we expect persistency will continue to improve as refinancing activity flows and an increasing amount of the NIW volume we have written at exceptionally low rate – interest rates enters the 12-month persistency calculation. Net premiums earned in the fourth quarter were $113.9 million compared to $113.6 million in the third quarter. We earned $5.1 million from the cancellation of single premium policies compared to $7.7 million in the third quarter. Reported yield for the quarter was 31 basis points compared to 32 basis points in the third quarter, reflecting the introduction of ceded premium costs for our most recent ILN completed in October, a decreased contribution from cancellation earnings and a turnover of our pre-COVID book. Investment income was $10 million in the fourth quarter compared to $9.8 million in the third quarter. Underwriting and operating expenses were $38.8 million compared to $34.7 million in the third quarter. Expenses in the fourth quarter included $2.5 million of costs associated with our CEO transition and $1.5 million of costs incurred in connection with our ILN offering in October. Excluding CEO transition and ILN-related costs, adjusted underwriting and operating expenses were $34.8 million in the fourth quarter compared to $32.9 million in the third quarter. Our GAAP expense ratio was 34.1%, and our adjusted expense ratio was 30.5%. We expect to continue to drive efficiency and expense ratio improvement going forward. We had 6,227 defaults in our primary portfolio at December 31 compared to 7,670 at September 30. And our default rate declined to 1.2% at year-end. Overall, our credit performance continues to trend in a favorable direction with an increasing number of impacted borrowers curing their delinquencies and fewer new defaults emerging as the acute stress of the pandemic recedes. The performance of our early COVID default population, those borrowers who entered forbearance programs and defaulted in 2020 and are now reaching the end of their 18-month forbearance periods, has exceeded our expectations in a favorable way and prompted us to release a portion of the reserves we established for potential claims outcomes. As a result, we recognized a claims benefit of $500,000 in the fourth quarter with the reserves we established on new defaults in the period fully offset by the release. Interest expense in the quarter was $8 million, and we recorded a $112,000 gain from the change in the fair value of our warrant liability during the period. GAAP net income was a record $60.5 million or $0.69 per diluted share for the quarter, and adjusted net income was a record $63.5 million or $0.73 per diluted share. Total cash and investments were $2.2 billion at quarter end, including $106 million of cash and investments at the holding company. Shareholders’ equity at year-end was $1.6 billion, equal to $18.25 per share, up 3% compared to the third quarter and 13% compared to the fourth quarter of last year. We have $400 million of outstanding senior notes and our $250 million revolving credit facility remains undrawn and fully available. At quarter end, we reported total available assets under PMIERs of $2 billion and risk-based required assets of $1.2 billion. Excess available assets were $855 million. Capital will remain a focus for us in 2022 and we are excited by the – at the new opportunities we see to further support policyholders, optimize our balance sheet and build value for shareholders. We intend to pursue two ILN transactions during the year, one in each half. And we expect to begin to execute under our newly authorized $125 million 2-year share repurchase program. Our funding profile today is exceedingly strong. And we have the capacity to both fund the significant growth we see ahead and support distributions to our shareholders. In summary, we achieved record results in insurance-in-force, net premiums earned, total revenue, net income and adjusted net income. Our credit performance continues to stand out in a favorable way. And as we look ahead, we believe we are well positioned to continue delivering strong mid-teens returns that are significantly in excess of our cost of capital. We expect the growing size and attractive credit profile of our insured portfolio and our broadly disciplined approach to managing risk, expenses and capital will continue to drive our performance. With that, let me turn it back to Adam.
Adam Pollitzer: Thank you, Ravi. Overall, we delivered strong results for the quarter and year with the record volume and value of new business production and encouraging credit performance in our in force portfolio, driving significant profitability and strong mid-teen returns. Looking forward, we’re optimistic about the resiliency of the housing market and the long-term growth opportunity we see in the MI sector. We believe we are well positioned to continue to win with customers, drive outsized growth in our high-quality insured portfolio, maintain the right risk return balance and deliver strong financial results and value for our shareholders. Thank you for joining us today. I’ll now ask the operator to come back on so we can take your questions.
Operator: [Operator Instructions] Our first question will come from the line of Mark DeVries from Barclays. You may begin.
Mark DeVries: Yes. Thank you. Could you discuss the pace at which we should expect you to deploy the repurchase authorization and how your ability to grow insurance-in-force might impact that?
Adam Pollitzer: Yes, Mark, happy to. Look, as a timing matter, the authorization runs through the end of 2023. And we don’t have a set schedule for our anticipated activity. Rather, we expect to execute on an open market basis through the course of the authorization period. Initially, we expect to be, I’ll call it, somewhat programmatic in how we execute, barring significant shifts in our views around the operating environment, valuation or our expectations for portfolio needs and organic opportunity.
Mark DeVries: Got it. And next question, it looks like you guys gained share in NIW in the quarter. Could you discuss what you think might have driven that?
Adam Pollitzer: Yes. I’ll touch on volume and then I’ll touch on share. Look, we wrote $18.3 billion of high-quality new business in the fourth quarter, and that rounds out a year where we delivered nearly $86 billion of production, which for us is really an exceptional level of volume. That volume grew our insured portfolio. And really, that’s what we’re most focused on, right, is stacking high-quality new production, driving growth in our insurance-in-force, which will drive revenue expansion for us. And as we’re doing that, making sure that we remain disciplined around risk expenses and capital. In terms of volume for us in the fourth quarter, it was certainly a strong quarter, but there is no single specific factor that drove our success. We’ve really just continued to work hard to differentiate with lenders through our sales effort, through our service offering and through our IT capabilities. On the market share side, I’d say it’s really not something that we focus on or manage towards. We’re most focused on delivering for our customers, and when we can succeed, writing a large volume of high-quality, high-return NIW.
Mark DeVries: Okay. Were there any adjustments that were made to your pricing in the quarter?
Adam Pollitzer: No.
Mark DeVries: Okay. Great, thank you.
Operator: Our next question comes from the line of Rick Shane from JPMorgan. Your line is open.
Rick Shane: Hi, good afternoon, everybody and thanks for taking my question, and congratulations to everybody on your new official roles.
Adam Pollitzer: Thank you.
Rick Shane: I just wanted – sorry. Adam, I just wanted to talk a little bit as we sort of reach the inflection point in the cycle for originators as some of their incentives shift a little bit in order to drive volume and how they can continue to basically – or how they can find ways to subsidize volume. Curious what you guys do to sort of offset any potential risks associated with that? And if there are any signs that you’re already seeing that suggest that underwriters are shifting their behaviors?
Adam Pollitzer: Yes, Rick, it’s a good question, and it’s certainly something that we’re focused on. In the prepared remarks, I mentioned that underwriting rigor remains paramount across the mortgage market, and we do continue to see that. For us, nearly all of the business that we’re insuring at this point is sold to or guaranteed by the GSEs, and they really control the credit box that we participate in. And we haven’t seen really any notable moves in credit standards by the GSEs, and that comes through in the production that we’re insuring. We certainly keep our eye on it though. And to the extent that there was any movement, we have the ability to obviously express our own risk appetite through Rate GPS, right? We’ve got the ability to utilize the various tools between our individual risk underwriting approach, the decisions we make around pricing and also importantly, how we maintain a programmatic stance towards execution in the reinsurance market to ensure that as the environment may evolve from a credit risk standpoint, we’re staying on our front foot and managing the risks that we allow into our portfolio.
Rick Shane: Great. Yes. Look, it’s a fair point in terms of, I think the GSEs have maintained their discipline. But at the same time, obviously, where you participate sort of puts you at the margin in terms of where – in terms of – the margin in terms of credit and certainly particularly sensitive to HPA. So I think that’s sort of – go ahead, Adam.
Adam Pollitzer: So I think that’s less of a credit box decision, and it’s more of a what’s the environment that surrounds the risk we’re taking on. And obviously, there is a lot that we monitor at all times, right? We look at not just HPA, we look at the course of the virus. We look at what’s happening as an inflationary and fiscal policy matter. We do look at what happens both nationally and regionally from an unemployment standpoint, certainly where house prices are and where they are trending and what that means for affordability, both on an absolute basis, but also given the rise that we’ve seen in interest rate. At this point, there is nothing that’s giving us cause for real concern. But it’s times like these where there is perhaps the perception that we’re at an inflection point where the generally conservative stance that we’ve always taken really serves us well, right? The conservative stance around how we underwrite our policies, the mix and quality of our new business production and also really our comprehensive use of reinsurance.
Rick Shane: Got it. Yes. And it’s a fair point. And I think what I’m not articulating is that one of the factors that we would anticipate as we sort of reach this point in the mortgage cycle given HPA is more cash out refi. So I’m sort of lumping that in with the credit and sort of the change in landscape.
Adam Pollitzer: Got it. Look, from a cash-out refi standpoint, I think there is broad limitations in terms of how those loans flow through to the GSEs and by extension for us. At this point, we don’t have any cash out refi business coming through, and we can certainly price for that as a risk variable.
Rick Shane: Okay. Great, thank you. Sorry for so many questions. Thank you, guys.
Operator: And our next question will come from the line of Doug Harter from Credit Suisse. Your line is open.
Doug Harter: Thanks. Adam, I guess, back to the buyback. Can you just talk about what your holding company liquidity position is today and whether you would need to get – or plan to get dividends out of the MI subsidiary in order to fund the buyback?
Adam Pollitzer: Sure, Doug. We have $106 million of cash and liquidity – cash investments at the holding company. We do aim over time to maintain, what I’ll call it, an appropriate liquidity cushion roughly equal to 1 year’s worth of interest expense and non-reimbursable holding company costs, which amounts to about $40 million. So a chunk of the capital that we expect to deploy in support of the repurchase program will come from existing holding company resources. But we do also anticipate that we will look to extract capital from the operating company to fund the balance. We expect when our K comes out over the next few days, you’ll see an update on our expected dividend position. We do expect that we will have ordinary course dividend capacity from NMIC given the strength of our performance and its statutory profitability last year.
Doug Harter: I guess given that, would you expect it to be kind of regular recurring dividends or would you expect kind of special dividends out of the subsidiary? I guess, how are you thinking about that?
Adam Pollitzer: Yes. So we don’t have a need to extract extraordinary dividends from the operating company over the course of the repurchase authorization to fund it. But to the extent that we progress conversations on that topic with Wisconsin, it might give us an ability to factor that in, in terms of timing to execution.
Doug Harter: Great. Thank you, Adam.
Operator: Our next question comes from the line of Bose George from KBW. You may begin.
Bose George: Hi, everyone. Good afternoon. Actually, one more on the buybacks. When you think about the valuation in terms of where the stock’s trading kind of price-to-book or P/E, how does that sort of analysis work into your buybacks?
Adam Pollitzer: Yes, Bose, it’s a good question. I’d say in terms of valuation guide, Bose, I’ll touch on a few. But we obviously want to buy low and see our shares outperform. We also have a high degree of conviction about our future opportunity. But we don’t have bright line valuation thresholds above or below which we will or we won’t repurchase shares. We do look at pro formas, right, the pro forma impact at various prices. And what we look at most importantly there is the earn-back period for initial book value per share dilution, and we will be opportunistic given that framework as we execute in the market. But the goal of our program overall is really to right-size our funding profile and manage the cost, as I think about it really attacks of carrying an excessive amount of excess capital. And so we intend to be programmatic in how we execute. As I mentioned earlier, in terms of timing, it sort of aligns here for valuation barring, I would call it a significant shift in our view of the operating environment or our overall outlook and perspective on valuation.
Bose George: Okay. Great. That’s helpful, thanks. And then actually, I just wanted to follow-up on the pricing questions. I mean you guys noted your pricing was stable. I mean would you characterize the competitive environment generally as being stable? And also, can you remind me, do you participate in the bulk market?
Adam Pollitzer: Yes. So I’ll take the second question first. We don’t participate in big business. We know where it’s happening. We know the prices at which it’s clearing, but it’s not a market we actively participate in. In terms of the overall pricing environment, generally speaking, we’re encouraged. It is a naturally competitive market, but we continue to see a rational and constructive pricing environment, which affords us the ability to capture attractive unit economics and expected returns on new business production. Take a step back, I think that the industry is really at a point of balance, and that’s constructive, right, where we can both fully and fairly support lenders and their borrowers when they need us, right? As rates are rising, they really need us to obviously be balanced and fair, while at the same time, appropriately protecting returns and our ability to deliver value for shareholders. When we’re in the market every day, we are capturing business at rates that are supportive of our strong mid-teens return objective. And we’re optimistic that, that balance will carry forward.
Bose George: Okay. Great, thanks a lot.
Operator: Our next question will come from the line of Cullen Johnson from B. Riley Securities. You may begin.
Cullen Johnson: Hi, good afternoon. Thanks for taking my questions. I think last quarter when you discussed an estimate of roughly 85% of new notices that were in a forbearance program, is there a similar estimate for this quarter?
Adam Pollitzer: Yes. It’s come down a bit as we would expect, right, we’re getting closer, obviously, to the pandemic being behind us in terms of drivers of borrower strain. In the fourth quarter, of the new defaults that emerged, I think we had a little over 1,200 new defaults emerge, roughly 72% of those new defaults came in through a forbearance program.
Cullen Johnson: Okay, great. That’s helpful. And then looking at the favorable development in the quarter, was that primarily on COVID-era delinquencies or more so in delinquencies kind of took place prior to 2020?
Adam Pollitzer: It’s both. I would say primarily for us, just given the balance of our default population, we have such a small number of defaults coming into the pandemic. And many of those that were in default at the start of the pandemic, those borrowers have – many of them have already cured. So when you look at the overall totality of our default position and our reserve position, the significant, significant majority relates to COVID era, if you will, COVID-driven defaults. That’s where we saw the most significant portion of our release. And it was – as Ravi mentioned, it was on those early-stage COVID default. So, those borrowers who entered forbearance programs and went into default at the onset of the pandemic in 2020, who stayed in default through now but are curing out in an increasing way.
Cullen Johnson: Great, thanks. That’s helpful. And then just last one for me. I guess as you kind of look at the dynamic in which higher home prices, all else equal, lower the risk on your current book of business by kind of reducing the chance of foreclosure. Like, I guess, higher home prices can also serve as a headwind to future originations into the top line. So just directionally, when you think of net impact of home price appreciation on earnings, would you think of that as positive or negative?
Adam Pollitzer: I would say generally, it’s going to be a positive for us, right? Anything that bolsters the performance of the borrower is a real positive for us. And obviously, HPA does that in a meaningful way by equitizing our exposure and providing them with real value and incentive to find ways to stay current and perform on their mortgage. For us in terms of the value – the volume impact, and obviously, we had record levels of HPA over the last few years and we’ve also had record levels of NIW volume across the sector. So there is not necessarily the same direct tie. We do think, as we look out into 2022, that the market will stay strong, although we won’t necessarily see – we don’t expect to see the same level of NIW production across the market as we have seen in the last 2 years. Now from an HPA standpoint though, the interesting dynamic is that – right, the pace of activity because of where house prices are and where interest rates are moving, may weigh on purchase activity a bit. But for us, it’s not the number of units or the number of policies that we issue and the number of units that we insure, it’s the value of the mortgage that drives our NIW volume and drives ultimately the premium payment that we receive on that coverage. So, with HPA comes larger mortgages and the ratable exposure that we are covering can actually grow in a strong HPA environment. So, there is a balance between what might come from a unit slowdown balanced by value expansion and an increase in the ratable exposure.
Cullen Johnson: Great. Thank you. That’s helpful. These are my questions.
Operator: Our next question will come from the line of Mark Hughes from Truist. You may begin.
Mark Hughes: Yes. Thank you. Ravi, anything on the inflation front that might impact expenses this year, I think you said you are looking for more leverage, but that – could that be a little bit slower, perhaps because of inflation and wages?
Ravi Mallela: Let me talk a little bit about how we see the impact of inflation on our expense profile. We are likely to see some impact. However, as you know, we are not a manufacturing company, contending with our rising cost of raw materials. And we have a fairly small employee group by headcount, and we have about 247 employees at year-end. And so when you layer that on, our relationship with TCS, our technology provider, it’s also helpful for us. IT has been sort of our largest expense between people and systems. And the TCS contract is a 7-year fixed price agreement. So, we pay the same regardless of what the cost is to them to provide the services under the contract. And then on the human capital side, we have been monitoring what’s been happening with wage growth. And to make sure we are retaining our people and appropriately incentivizing them to drive our business forward. So overall, we expect to see some growth in our payroll costs given the current environment, but nothing that we expect to meaningfully shift our expense profile going forward.
Mark Hughes: And where are you in that 7-year contract?
Adam Pollitzer: We are – we signed the contract in March of 2020. So, we are now just about 2 years into that 7-year agreement. I will say just – it’s going really well for us. I think the performance that we are seeing, right. And this was driven, first and foremost, by operating decisions, not expense decisions. The expense outcome is a really favorable one for us, particularly as Ravi noted, given what’s happening more broadly with inflation. It really helps to manage the impact for us. But from an operating standpoint, we have seen tremendous benefit come through already in the first 2 years.
Mark Hughes: On the reserve gains in the quarter, was that just based on actual cures, or did you make some change in assumptions around how many of the claims are actually going to be paid out? I guess I am just sort of wondering the – is this just the start of something that’s likely to continue for a few quarters?
Adam Pollitzer: Yes. Let me – I will touch on sort of what drove it, whether it’s assumption or experience-driven. And then I will give you some sense on the go forward. I would say in the fourth quarter – really through all of 2021, we saw significant cure activity in our pre-COVID and early-COVID default populations. And as a reference, over 90% of the defaults that were first reported to us in the second quarter of 2020, those earliest COVID-impacted borrowers, have since cured out of their delinquency status. And when we initially established reserves for those loans, we did consider the beneficial impact that forbearance, foreclosure moratoriums and other assistance programs would have on our ultimate claims experience, but the actual performance has exceeded our initial expectations in a favorable way. So, it’s primarily driven by the performance of the borrower. Now the one piece that I would say is not assumption, but it’s also performance is that alongside that favorable cure experience, we have also had record levels of HPA. And so we haven’t changed our forward look, if you will, about house price paths or other macro factors that will drive our modeled assumptions for cure activity going forward. But we do factor in the equitization of risk that comes with actual HPA as it develops. And so in the fourth quarter, we had another three months of actual HPA that was quite significant. And both of those items then, the favorable cure experience and the additional quarter’s worth of significant HPA, put us in a redundant position at year-end and drove the release. As to how we look at things going forward, our reserve today, we are at year-end, reflects our best estimate of our ultimate claims exposure. And we feel really good about our position at year-end. I would say, to the extent we see continued moves in our default population, continued strength in the HPA environment. Those are items that we will have to factor for. We do reevaluate our reserve position every quarter. And so it’s always possible that we will have a shift from period-to-period. But for right now, we have reflected at year-end, our view of a best estimate expectation for claims outcomes going forward.
Mark Hughes: And then, Adam, I am just curious to get your perspective from where you sit on the purchase origination market for 2023. A lot of moving parts, the Fed rate hike environment is obviously an issue. You have made a number of statements where you feel good about first-time homebuyer demand, etcetera. Any kind of ranges you care to share if we think about the dollars of originations volume in the purchase market?
Adam Pollitzer: Yes. I won’t put a dollar to it. But look, I will generally say we see real health and strength on the purchase side. We do acknowledge and expect that activity will be impacted to a degree by rates, also by constrained inventory and the extraordinary run of HPA that we have seen. But notwithstanding what may come through in terms of near-term impact, we still see interest rates that are quite low in a historical context. And I think we see a number of fundamental drivers of growth in the purchase market that we think will sustain the MI opportunity. If we tally it – earlier, we talked about house price appreciation, but increasing values drive increased loan sizes, all else equal. There has been an increase, right. A significant increase this year in conforming loan limits, which will help drive volume from the jumbo market, where we really don’t participate into the conforming market. There is the demographic tailwinds that we spent a lot of time talking about with the aging of the millennial generation and their increasing focus on homeownership. And just the broader COVID-driven shift that we have seen, right, this practical and emotional pull towards homeownership that’s resulted. And so we look at all of those as being sources of support for continued health in the purchase market.
Mark Hughes: Thank you very much.
Operator: Our next question comes from the line of Ryan Gilbert from BTIG. Your line is open.
Ryan Gilbert: Hi. Thanks. Good afternoon everybody. My first question was on the new default. I think it’s kind of interesting in the quarter that defaults were down sequentially versus if you look at your other peers who have reported, they went up in the fourth quarter from the third quarter. So, just any details on new default trends in the quarter and then how you expect new defaults to progress in ‘22 would be helpful?
Adam Pollitzer: Sure. I would say there really isn’t anything specific that happened in the quarter that we have noted around that trend. Our default experienced sort of the – same message actually we shared when there was a little bit of a bounce in Q3. Default experience when we are dealing with such small numbers can move a bit from quarter-to-quarter, right. Ultimately, there is an individual borrower who is sitting behind each of the loans, who is facing stress. And that stress and their individual experience doesn’t necessarily develop in a linear path. Overall, I would say we are really encouraged by the performance of our portfolio in the quarter, and we are optimistic that we will see continued strength as we go forward.
Ryan Gilbert: Okay. Great. Second question on NIW, I am wondering if you can attribute any of the performance in this quarter just to better market share or better wallet share with some of the new accounts that you have opened for the last year or 2 years? Like how much is that just expanding your account list, helping NIW relative to the more stabilized MIs versus market share positioning or anything else?
Adam Pollitzer: Yes. Look, it was a strong year for us, and we closed on a high actually in Q4. In the fourth quarter, we activated 36 new customers, which was up from 29% in the third quarter. We are really pleased with the continued growth in our client franchise that we have seen. Our sales team is doing a terrific job of engaging with customers, and our message continues to resonate with lenders in a meaningful way. In any given quarter, though, our NIW outcome is driven much more by the lenders that we have activated in prior periods and the lenders we activate in the current period. And for us, it’s not necessarily customers, any one customer. It’s really doing the things that have made us successful with consistency over the last 10 years. It’s looking to differentiate with our sales message and with a consultative approach, with our service offering and with our IT capabilities.
Ryan Gilbert: Okay, great. Thanks very much.
Operator: Our next question comes from the line of Geoffrey Dunn from Dowling. You may begin.
Geoffrey Dunn: Thanks. Good evening. A couple of questions. The HoldCo liquidity did you actually have an OpCo dividend in the quarter, or is the increase due to tax or reimbursement type things?
Adam Pollitzer: Yes. So one, it depends on how we settle intercompany payables, but we did have a dividend during the quarter. In the quarter, we paid a one-time $26 million dividend from our sister reinsurance subsidiary, ReOne, to the holding company. A portion of that, a small portion was an ordinary course distribution and the majority of it was an extraordinary distribution. And I would say one-time there because it was related to a commutation of the reinsurance agreement between our sister entity, ReOne, and our primary insurance subsidiary. When we commuted that reinsurance arrangement because it was no longer necessary as a statutory matter, it really allowed us to take most of the capital out of ReOne intended to the holding company.
Geoffrey Dunn: Got it. And then, Adam, how do you think about earn back on buyback? Is it – 3 years a good ballpark?
Adam Pollitzer: Yes. Look, again, we don’t have a hard and fast rule about it. I know some others may be more specific. I think 3 years is a good way to look at it. We expect that at current valuation levels, the earn-back on a repurchase would be well inside of that 3-year benchmark.
Geoffrey Dunn: Alright. And then my last question is, if we look at your risk-in-force, it’s clearly got a lower risk profile versus peers. But if you look in the last year, in particular, your appetite, at least on high LTVs, has expanded. So, how do we interpret that? Is that more historically was maybe more of a capital preservation play, or have you seen something different in that market that expands the appetite in that specific segment?
Adam Pollitzer: Geoff, it’s a good question. What I would say is it’s not about capital preservation at all. We have had ample capital to support all of our needs at all points. The risk profile of production that we are seeing come through today and that we are comfortable taking is very similar to the profile of production that we were taking in 2019. And at that time, we were perfectly comfortable. What happened in the intervening period and what skews, I would call it, that perspective is obviously the experience of the pandemic. During the pandemic, we did make very specific decisions to meaningfully curtail the flow of risk into our portfolio at the early onset of the pandemic, and that carried for sort of six months, nine months or so. And that was because we were in an unprecedented environment without clarity, at least early on, on what the pandemic would mean for the housing market and for our borrower risk exposure. If you take the pandemic experience out and you instead look at where was our portfolio and generally the trend in our NIW production and risk mix through 2019, what we are seeing come through today is consistent. The other item that I would note is not just the pandemic and our decisioning around risk, but we have also had distortion over the last 2 years because of the balance between refinancing and purchase origination volume, right. Periods where we tend to have elevated refinancing activity and an elevated refinancing mix will show as though we have a lower mix of risk coming through into the portfolio because typically, refinancing business carries lower LTVs and higher borrower FICO scores. If you normalize for those two things, our risk appetite really hasn’t shifted in any consequential way.
Geoffrey Dunn: Thanks.
Operator: I am not showing any further questions in the queue. I would like to turn the call back over to the speakers for any closing remarks.
Adam Pollitzer: Great. Well, thank you again for joining us. We will be participating in the RBC Global Financial Institutions Conference on March 9th. We look forward to speaking with you again soon.
Operator: This concludes today’s conference call. Thank you for participating. You may now disconnect. Everyone, have a great day.